Operator: Welcome to the Gold Royalty Corp. Fourth Quarter 2024 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please also note today's event is being recorded. At this time, I'd like to turn the floor over to David Garofalo, Chairman and CEO. Sir, please go ahead.
David Garofalo: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today's call to review our fourth quarter 2024 results, as well as our 2025 and five year outlook. Please note, for those not currently on the webcast, a presentation accompanying this conference call is available on the presentation page of our website. Some of the commentary on today's call will include forward-looking statements, and I would direct everyone to review Slide 2 of the presentation, which includes customary cautionary notes. Speaking alongside me on today's call will be Andrew Gubbels, Chief Financial Officer; and Jackie Przybylowski, Vice President, Capital Markets. 2024 was a year of significant growth for Gold Royalty, and we are pleased to report record revenues and positive operating cash flows over the last 12 months. These strong results demonstrate the built-in growth of our portfolio, and we continue to be excited about the outlook for 2025, where we expect to receive between 5,700 and 7,000 GEOs. With more cash flowing assets, strong commodity prices and our stable and low cost structure, we expect to see growing revenues and cash flow this year. Our portfolio's growth profile was achieved through transformative value accretive acquisitions made over the company's four year history. These acquisitions secured royalties on large scale, long life mines in the late development near production and ramp-up stages. As several key development stage assets have been advanced and significantly derisked over the past year, we are happy to provide our five year outlook of 23,000 to 28,000 GEOs in 2029 and over 360% increase from our 2024 GEOs. We are excited about this longer-term growth outlook, and we're confident in the potential of our portfolio as we continue to see our operating partners deliver quarter-over-quarter. Capital allocation will come into focus as we reach an inflection point to positive free cash flows in 2025, supported by strong production growth and buoyed by record gold prices. We will continue to emphasize discipline, prioritizing debt repayment and accretive strategic growth when appropriate. With that, I will pass the call over to Andrew Gubbels to discuss the details of our fourth quarter results and outlook on Slide 4.
Andrew Gubbels: Thank you, David, and good morning, everyone. We had strong financial performance during the quarter with total revenue, land agreement proceeds and interest of $3.8 million, a 192% increase relative to the fourth quarter of 2023 and an approximate 50% increase relative to the third quarter of 2024. This is primarily due to the continued ramp-up of the Cote Gold mine, strong commodity prices and initial revenues from the Vares copper stream during the quarter. We achieved a record $12.8 million in total revenue, land agreement proceeds and interest for the full year 2024, a 146% increase relative to 2023. With this revenue growth and our stable operating costs, 2024 was our first full year achieving positive operating cash flows of $2.5 million as well as positive adjusted EBITDA of $4.8 million. Looking ahead, we expect to see further GEO growth in 2025 to 5,700 to 7,000 GEOs forecasted for the year. Our guidance represents a midpoint increase of 16% relative to 2024. It's important to note that 2025 is a ramp-up year at three of our key assets; Cote, Borborema and Vares, while our other cash flowing assets are expected to deliver relatively consistent cash flows for the year. We are also happy to present our inaugural five year outlook. We are forecasting 23,000 to 28,000 GEOs in 2029. This five year outlook reflects continued contributions from our cornerstone producing assets as well as additional production from assets currently under development, including Agnico Eagle, Odyssey underground at Canadian Malartic, Nevada Gold mines, REN, Orla’s South Railroad and I-80s Granite Creek, amongst others. It also reflects near-term expansion growth amongst assets already in production, including Adriatic Vares mine, IAMGOLD's Cote mine and Aura's Borborema project, which is expected to achieve first production by the end of the current quarter. Moving to Slide 5. I will walk through the key inputs that drive our 2025 guidance range. At Borden, we hold a 0.5% NSR royalty over the eastern portion of the mine. Discovery Silver has published a PEA over the Porcupine Complex, which outlined 124,000 ounces of expected gold production from Borden. Note that the current underground mine workings are plunging further to the east with Discovery's targeted future exploration plans, fully covered by our royalty. At Borborema, where we hold a 2% NSR royalty and provided a Gold-Linked loan. Aura Minerals forecast 33,000 to 40,000 ounces of gold production this year. Gold Royalty will continue to receive 250 GEOs per quarter in preproduction payments until commercial production is achieved as well as 110 GEOs per quarter and Gold-Linked interest payments from Aura Minerals. At Canadian Malartic, where we hold a 3% NSR over the north area of the Odyssey Underground mine, and eastern portion of the Barnat Pit. Our guidance is based on relatively consistent year-over-year attributable production. 2025 production is expected to come entirely from the Barnat Pit. And any potential underground production from the internal zones, Odyssey North and East Malartic represents upside to our forecast. At Cote Gold, where we hold a 0.7% NSR royalty over the southern portion of the pit. IAMGOLD has provided guidance of 360,000 to 400,000 ounces of production on a 100% basis. At Cozamin, Capstone Copper has provided guidance that is slightly up from 2024. We expect our attributable GEOs to be relatively consistent year-over-year. Isabella Pearl is expected to conclude operations by mid-2025, and Fortitude Gold is now focused on neighboring projects to supplement production. Of note is the nearby county line project, which Jackie will discuss later in the presentation. And finally, Vares, where we received initial revenues in Q4 2024 from our 100% copper stream. Adriatic Metals has provided guidance of 625,000 to 675,000 tonnes milled in 2025. Our stream has fixed payability of 24.5% and ongoing payments of 30% of the spot copper price. In addition to the cash flowing royalties and our guidance, we also expect to receive $1.6 million Land Agreement Proceeds, which equates to approximately 600 GEOs at the consensus 2025 gold price of $2,668 per ounce. We also assume a copper price of $4.23 per pound in developing our 2025 guidance. Now looking at our five year outlook on Slide 6. We expect to see significant growth in GEOs to 23,000 to 28,000 by 2029, which represents an over 360% increase from our 2024 GEOs. Key assets ramping up to support this five year outlook include Odyssey, Vares, Cote and Borborema. Both Vares and Borborema are well advanced and funded to expand planted throughput at these operations. And Agnico Eagle is pairing a study expected in 2026, which contemplates a second shaft to increase underground production. Recall that Agnico Eagle has indicated that Canadian Malartic is expected to shift to a fully underground operation by 2028. Note, we also hold royalties ranging from 1.5% to 2% in the surrounding area, including the Midway property to the east as well as properties to the south of the mine. Beyond our currently producing assets, our operating partners have provided more clarity around the development and production timelines for REN, Granite Creek, South Railroad and County Line, which are all expected to supplement our cash flow profile by 2029. This longer-term outlook is based on assets already held in our portfolio and is based on public forecast expected development timelines and other disclosures by the owners and operators of the properties underlying their interest. We assume a gold price of $2,212 per ounce at a copper price of and $4.24 per pound in developing our five year outlook. Lastly, I'd like to emphasize that as this outlook materializes, we expect our operating cost structure to remain relatively stable. This will result in higher future operating margins and increased cash reserves. As this occurs, we will continue to review our capital allocation alternatives, which includes paying down a revolving credit facility to reduce our interest costs and boost free cash flows. With that said, I will pass the call to Jackie to discuss some recent portfolio updates in more detail.
Jackie Przybylowski: Thanks, Andrew. Turning to Slide 7. I'll spend a few minutes discussing the ramp-up of the Vares and Cote Gold mines, as well as progress towards initial production at Borborema. This will be the first full year of production from Vares. The mine is expected to reach its full Phase I run rate of 800,000 tonnes per year in the second half. Beyond 2025, Adriatic Metals recently completed an equity raise, which now fully funded planned throughput expansion to 1 million tonnes per year in 2026 and to 1.3 million tonnes per year by 2027, a 63% increase in throughput relative to the original mine plan. IAMGOLD expects Cote will reach steady state nameplate throughput of 36,000 tonnes per day in Q4 2025, and we could see further upside. IAMGOLD has also outlined that the installation of a Vertimill could further expand Cote's mill capacity to 42,000 tonnes per day. And at Borborema, Aura Minerals expects to achieve first gold pour later this month and commercial production is expected in the second half of the year. At full Phase I run rate, Borborema will process 2 million tonnes per year, representing an annualized production rate of 83,000 ounces of gold per year. Aura has also indicated that the permitting process towards moving the nearby highway is progressing well, which is expected to grow mineral reserves to over 2 million ounces of gold from 812,000 ounces today. Our royalty covers both sides of the highway and any future reserve growth. The highway relocation and subsequent associated increase to mineral reserves is also expected to support future expansion of the mining and milling operation in the medium to -- in the medium term to approximately 3 million to 3.5 million tonnes per year from the 2 million tonnes per year in Phase I. Moving to Slide 8. We have several other positive catalysts across the portfolio to highlight. At Agnico Eagle's Odyssey Mine, where Gold Royalty holds a 3% NSR over the northern portion of the mine, ramp and shaft development, both continue on schedule. And Andrew already mentioned, but it's worth reiterating that Agnico Eagle will release an internal study outlining potential second shaft in 2026. At Cozamin, where we hold a 1% NSR royalty over the eastern portion of the mine, production is expected to be relatively consistent year-over-year. Capstone has provided guidance of 23,000 to 26,000 tonnes of copper production from the mine in 2025. We hold a 1.5% NSR royalty and a 3.5% net profit interest at the REN project. Barrick recently provided clarity over development and production timelines for when the project would be incorporated into the broader Carlin Complex plan. In its Q4 2024, MD&A, Barrick noted that REN is expected to achieve an annual production rate of 140,000 ounces of gold per year in 2027. Management at I-80 Gold has indicated that Granite Creek is the primary focus for project development. First, at the underground operation, which is expected to ramp up production with 20,000 to 30,000 ounces of gold in 2025. We hold a 10% NPI royalty on Granite Creek, and we note that our NPI is subject to a 120,000 ounces gold production threshold of which approximately 10,000 ounces have been produced against to date. Highlights of updated PEA studies for the Granite Creek underground and Granite Creek open pit projects were published in March and further updates to the mineral resources and the feasibility study are expected in Q4 2025. Moving to the Tonopah West project on which Gold Royalty holds a 3% NSR, Blackrock Silver received required approvals to build an exploration decline in 2027 to further advance the project. An expanded drilling program of 15,000 meters is planned in 2025 and an updated mineral resource estimate for the project is expected to be published by the third quarter of this year. And finally, an agreement has been entered into by Newmont to sell the Porcupine Complex to Discovery Silver. As part of the acquisition, Discovery published an updated PEA on the complex, which included a nine year life of mine and 867,000 ounces of total gold production at the Borden mine, which is part of that broader Porcupine Complex, relevant for us because Gold Royalty holds a 0.5% NSR royalty over the eastern portion of Borden. New ownership could lead to a renewed focus on Porcupine and Borden. At Discovery Silver's Investor Day on March 3, management outlined that the potential for further exploration to the east of Borden deposit depths. Our geographic exposure, premier operating partners and marquee royalty assets still represent one of the highest quality portfolios in the sector. Gold Royalty's diversified portfolio provides significant optionality to the extensive exploration work conducted by our operating partners. Beyond the selected asset highlights we've already discussed, numerous other investments continue to move our portfolio forward. In recent quarters, we've seen the blue cash flowing bucket of our pipeline growth and are excited by the potential for assets such as REN, Odyssey, South Railroad, County Line and Granite Creek to move from the development to cash flow in category in the relatively near term. Moving to Slide 10 and looking ahead to some key upcoming catalysts across the portfolio. You can see that we have a long and growing list of exciting catalysts, which will move our portfolio forward. We've already spoken at length about many of the catalysts, which are contributing to our 2025 and longer-term growth, including Odyssey, Cote, Vares, Borborema, REN and Granite Creek. So I'll just highlight a few catalysts we haven't talked about yet. We're excited by the team at Wallbridge Mining, who has indicated that it expects to publish an updated PEA on the Fenelon project later this quarter. In the medium term, we have numerous catalysts that will support our growth trajectory towards the aforementioned five year outlook. These include initial production at Count Line by Fortitude Gold, where Gold Royalty holds a 3% NSR royalty. Fortitude is advancing permitting and plans to dovetail until production from County Line with the winding down of operations at Isabella Pearl. We can look forward to an updated PEA next year at Tonopah West and construction to start with an exploration decline in 2027. And at South Railroad, Orla has outlined that it expects to achieve initial production in 2027. As you can see, there's lots to get excited about with regards to the Gold Royalty portfolio. I will now pass the call back to David to summarize before opening up for questions.
David Garofalo: Thank you, Jackie. There is indeed lots to get excited as you look across our portfolio in the various high quality assets ramping up and entering production. Now despite our high quality portfolio and the encouraging developments from our operating partners, we continue to trade at a discount relative to many peers on a pricing and asset value basis. During this period, we have placed an emphasis on being disciplined as we continue to grow our portfolio. We have a strong degree of conviction with the quality of portfolio and what our operating partners will deliver, and we'll continue to be patient as our peer leading growth in cash flow materializes. As we expect continued cash flow growth in future quarters, we are confident this will be the catalyst for a rerating back in line with peers. In the meantime, we will be patient, paying down our revolving credit facility will be one of our priorities of capital. In closing, 2024 was a record year for Gold Royalty with record revenue, record operating cash flow and record adjusted EBITDA. Looking ahead, we have peer-leading growth with GEOs expected to increase by over 360% by 2029 relative to 2024. These strong results demonstrate the built-in growth of our portfolio. Our portfolio's growth profile was achieved through transformative, value accretive acquisitions made over the company's four year history. These acquisitions secured royalties on large scale, long life mines and late development, near production and ramp-up stages. These assets position Gold Royalty for continued growth in revenue and GEOs over the long term, including through the end of the decade. With that, operator, we'd be happy to open up the call for questions.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] Our first question comes from Heiko Ihle from H.C. Wainright.
Heiko Ihle: Sorry, I assume you can hear me all right now?
David Garofalo: Yeah. Good to see you, Heiko. Thank you.
Heiko Ihle: Okay. Hey, David. Hello, team. Thanks for taking my questions. You put out the 2029 guidance, excellent numbers, obviously. Can you give some color on the even longer term? I went through some of the assets this morning, just sort of go out a little bit more with me and I assume the other analysts as well, obviously, do DCFs in a much longer-term fashion. I assume almost all your major assets should still be in production five years even after this long-term guidance, call it, whatever, 2034, so -- and building on some of that, can you maybe provide some color on what your modeling, and how you expect the breakdown between gold and copper to be in the very long term? I assume your asset base is going to be bigger by then as well.
David Garofalo: Great. Thanks, Heiko. I do have Jackie on the phone and Peter Behncke, our Director of Corporate Development and Investor Relations, is also on the call, so I'll hand it off to them to talk about the longer-term horizon.
Peter Behncke: Thanks, David. I'll jump in and Jackie please add any point if I may miss. I think, Heiko to your first question on longer-term guidance. Well, we can't speak definitively about longer term beyond five years. I would note, as you mentioned, many of our cornerstone assets, Canadian Malartic, Cote, Vares and Borborema that support that five year outlook are based on 20 year plus mine plans based on existing reserves and resources currently. So we do have strong conviction that five year outlook is sustainable for a longer period beyond that. And to your second question on the split of gold versus copper, our only copper assets currently are the Vares Copper Stream and the Cozamin mine, which as we approach that five year outlook become a relatively smaller portion. On a book value basis, we are still appropriate -- approximately 90% gold and 10% copper.
Jackie Przybylowski: Maybe I'll just finish that thought. Sorry, Heiko, it's Jackie. Part of the reason why copper declines in our portfolio longer term is because the Cozamin mine, for example, at least, as its shown right now in life of mine in reserves and resources will decline over time. Now we're obviously hopeful that, that will be extended. But our expectation right now is in line with the company's guidance that, that will decline over time. But more importantly, because assets like the Canadian Malartic, Underground at Odyssey, REN and some of the other assets that we have on the gold site will grow. And so we've definitely seen more growth on the gold side going forward in the longer term, which helps to dilute some of that copper exposure down.
Heiko Ihle: Okay. Fair enough. I sometimes get some investor questions about your debt. I mean David mentioned earlier on this call that paying down the revolving debt remains a priority. I think all of you know, I personally don't really mind a little bit of debt for royalty firms, especially given that it allow you to expand your asset base when spot coal pricing is meaningfully lower. But can you maybe provide some color on your five year outlook for that? I mean, is the game plan to get this to zero or close to it, or is the plan to always keep a bit around?
David Garofalo: I'm going to hand it off to Andrew, and I'll round up the conversation as he completes his response.
Heiko Ihle: I got the whole team today.
Andrew Gubbels: You do. Hi, Heiko. Yeah. No, with respect to the debt leverage, look, we've had good support from our lenders, have been able to access our credit facility to build this foundation, this base, the portfolio we have at the moment. It's allowed us to be able to have operating cash flow in 2025. We expect free cash flow positive years. So the expectation is with the debt we've drawn down for the acquisitions that we've made, we're able to generate free cash flow and start building on cash. And that's really the -- that's the crux of this business, you see the larger cap peers utilize in their credit facilities as needed for expanding their business, drawing down on the facility and repaying. I think as we move forward, and it's evident in our five year guidance, we will be in a position where we are generating free cash flow well in excess of the operating costs and financing costs or debt service cost, and we'll be in a position to repay that facility without a major problem. The question is, will we have debt on the balance sheet in the future? It really is a function of the opportunities in front of us. In my mind, the preference is, as we generate cash flow, we'll assess our capital allocation alternatives, and we will look to service that debt and pay it down through the coming periods for the year. I think, having available credit to draw on for opportunities is a positive thing. And at this stage, moving forward, as we mentioned before, we will look to pay down some of that revolver as we generate cash flow. So I can't say that we'll carry no debt going forward. I think it's really a function of what we see. I don't foresee us being as we evolve as a company being overly highly levered compared to our peers. But again, at this stage, in our evolution to build the base to get where we want to be, we did use -- review the uses or sources of capital and the revolver and drawing down as a good source to build that base at the moment. So you should see that going down in the future. And certainly, relative to the cash flow generated in the future will be substantially lower. David, did you want to add anything?
David Garofalo: No, I was just going to say, philosophically, and Andrew covered this off well, is using the debt facility that's allowed us to get very large accretive deals done on a non-diluted basis. But the objective is to pay that back at a free cash flow as quickly as possible. So we have that capital available for future non-diluted acquisitions that we think will add value to the business, but really carrying low levels of debt is a priority for us. And you'll see our capital structure simplify over time as our free cash flow generation ramps up dramatically.
Operator: Our next question comes from Eric Winmill from Scotiabank. Please go ahead with your question.
Eric Winmill: Great. Thanks. Good morning, David and team. Thanks for taking my question. Just looking out into 2025, I know you kind of touched on a bit in the preamble, but obviously, important year for free cash flow inflection. Any additional details in terms of how should we think about the cash flow distribution through the year? I assume it's probably more weighted to second half than first half?
David Garofalo: I'll hand that off to Peter and Jackie as well just to talk about the distribution and the guidance.
Peter Behncke: Thanks, Dave. Eric, short answer -- sorry, Jackie. Short answer, yes, given the ramp-up of assets, Vares, Cote and Borborema, the second half of the year is expected to be stronger than the first half. So a marginal waiting in that direction.
Eric Winmill: Okay. Great. Appreciate that. Maybe just one more for me, too, in terms of new opportunities out there. What are you seeing or any additional commentary here in terms of the kind of deals you're looking at here to maybe add to the portfolio?
David Garofalo: Peter, do you just want to talk about the product?
Peter Behncke: Yeah. I'll build on that again. Thanks, Dave. And definitely, we're still very busy and looking at the market for new opportunities. On the royalty and streaming financing front, the higher commodity price, I think is helping select producers and developers have access to equity markets. We're still seeing a lot of opportunities with some earlier stage companies albeit our focus is always on quality and meeting our thresholds on pricing for a clearly accretive deal on a P/NAV and IRR basis. Where we have had success is looking at the third-party market from prospectors or other more selective opportunities. But I would note, when we're looking at opportunities despite the strong commodity price, we're always applying consensus commodity prices, which, as Andrew noted in our guidance, is closer to 2,200 in the long term. So it's about emphasizing that focus on meeting those return thresholds, whether that's a financing or a third-party opportunity. I'd highlight here as well and get ahead of maybe a potential follow-up question that we did acquire a royalty over the Garrison Project earlier this year, and that was a smaller tuck-in opportunity that met those thresholds, acquiring a 1.2% NSR over an attractive project near Timmins, over 2.9 million ounces. So a very attractive dollar per ounce and low P/NAV multiple. So that's an example of an opportunity where we saw really attractive returns, significant upside through a bilateral third party process.
David Garofalo: I would just add that there's a plethora of pre-resource opportunities out there that, frankly, we're just not interested in. We don't want to take flyers. We're really focused on cash flow and near cash flowing assets. So those are the deals that we really executed in the last 1.5 years. It's been Borborema, Cozamin, Vares, all either in production or about to achieve commercial production to add cash accretive and value accretive deals to the pipeline. We can generate those early-stage opportunities ourselves for sweat equity. We don't need to buy those or allocate scarce capital to those really early-stage opportunities. And we continue to generate a couple of royalties per quarter through our generative model at effectively no cost. And it's also been an important source of incremental revenue on option payments on those properties we farmed out. So I think staying focused on later-stage, operating assets is really going to be the focus. But those are few and far between. And if you can -- if you look at our evolution over the last four years, the pace of acquisition has slowed dramatically. We did a lot of M&A in 2021 when we had a strong currency to do so, but we've really focused -- keenly focused on later stage opportunity since then. So we've done a lot fewer acquisitions since 2021. And I think that's going to be a recurring theme of state discipline, be patient allow our abundant crop of assets to harvest over the course of the next couple of years to generate free cash and expanding margin in our business.
Eric Winmill: Okay. Fantastic. Yeah. Appreciate all the extra color. So its good. I’ll hop back in the queue. Have a great day. Cheers.
Operator: Our next question comes from Brian MacArthur from Raymond James. Please go ahead with your question. [Operator Instructions] And we'll move on to John Tumazos from John Tumazos Independent Research. Please go ahead with your question.
Unidentified Participant: Thank you for taking my question and thank you for your service to the company. First question, in your guidance for this year, which properties have a decline that maybe someone might have overlooked?
David Garofalo: Jackie, do you want to cover that first?
Jackie Przybylowski: Sure, John. I think if we're talking about why our guidance is maybe a little bit below where the market expectations are, I think the biggest delta would be our level of conservatism around start-ups and ramp-ups of various assets.
Unidentified Participant: So none of your projects are down from last year?
Jackie Przybylowski: No. We do have sort of flattish production at Canadian Malartic. That would probably be the biggest example of projects that's...
Unidentified Participant: Okay. Where are you discounting your operators guidance to be careful. How much will your guidance be if you follow the operator's guidance. How much higher will it be?
Jackie Przybylowski: I don't want to say we're discounting the operators guidance. I don't want to make it sound like we...
Unidentified Participant: I don't want to ask specifics. I'm just saying in total.
Jackie Przybylowski: I think the point is we're being conservative. We're using sort of the lower end of the operator's guidance at the assets that are still ramping up. So that would be Cote, Vares, Borborema would be the ones where we're looking at things more conservatively. And we're still using the upper end of guidance, but we're using what would be the lower end of their guidance.
Unidentified Participant: Is Cote the only property where your royalty is a subset and someone might have been advertently overestimated based on the entire property. Are there other royalties where you're a subsection...
Jackie Przybylowski: Yeah, partial coverage. We -- I mean the other probably biggest example would be Canadian Malartic. We don't have full coverage at Canadian Malartic. We don't have full coverage of the underground as well. So that's some of the examples where we're estimating the specific areas where the mining is taking place within the mine plan. And that might be another example of where the streak might be looking at things slightly differently, yes. That's probably the next biggest example.
Unidentified Participant: David, if I can ask you a macro question.
David Garofalo: Of course.
Unidentified Participant: Thank you. I mean, I bought your stock at $1.29 earlier in the call, so -- U.S., so I'm not unhappy. I'm -- thank you for giving us this opportunity today. Do you ever get the urge to call your old subordinate, Jason Attew, at Osisko Royalties, and say, Jason, these young jackass analysts don't understand. Why don't you just buy me for $2 you were asking, and save me the trouble.
David Garofalo: Yeah. I really do think our business has a lot more intrinsic value than even that number. It's more than just Canadian Malartic. Obviously, we have common interest at Canadian Malartic with Osisko Gold Royalties. But we have an abundant and diversified portfolio of assets that are ramping up quite dramatically over the next couple of years. And the market, frankly, is not recognizing that intrinsic value. I think we're going to do far better delivering on that revenue growth and margin growth over the next couple of years and any premium offer for the company could afford our shareholders. There's a lot more intrinsic growth and value growth just by harvesting what we've already built up, and I hasten to add that every one of our assets are bought and paid for. We have no capital calls. This growth is going to be free growth going forward and also free exploration optionality. Our operating partners invest over $200 million in exploration -- brownfield exploration around their existing mines and infrastructure, that's free exploration upside. That kind of optionality is why our shareholders have bought this company, both in terms of margin expansion, revenue growth, but also the exploration optionality with well-capitalized operators that have both the balance sheet and technical capacity to vastly increase the value of their businesses. And we have top line growth from all of these businesses.
Unidentified Participant: One last one, thank you for putting up with me, David. I'm hoping tomorrow the press release says we're not going to pay debt this year, and our Board's authorized a $20 million share buyback authorization. Is that too much to hope for?
David Garofalo: I think capital allocation is a luxury that we're going to have as we get deeper and deeper into free cash flow territory, whether it's deleveraging, which we see as a priority in the current year, but also looking at returns of capital to shareholders in various forms, whether it's share buybacks or dividends, you have a business that's going to have the capacity to do either or. And I think that's the luxury that we look forward to enjoying as this business starts to generate the significant growth and margin expansion that we expect over the next couple of years. Thank you, John.
Operator: [Operator Instructions] And ladies and gentlemen, at this time, I'm showing no additional questions. I'd like to turn the floor back over to management for any closing remarks.
David Garofalo: Well, thank you, everybody for your kind attention today. Of course, you can reach anyone of us by e-mail and many of you have our number. But jackiep@goldroyalty.com is our first point of contact. Jackie will be happy to take any questions you have. But of course, if you want to reach any of us individually, please don't hesitate. Thank you so much for your time today and your faith in our growth and our prospects going forward.
Operator: And ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for attending today's presentation. You may now disconnect your lines.